Operator: Hello and welcome to the Randstad 2019 Q4 and full-year results call. My name is Mahan and I'll be your coordinator for today's event. Please note that for the duration of the call, your lines will be on listen-only. However, you will have the opportunity to ask questions later on the call. [Operator Instructions]. I will now hand over to your host, Jacques van den Broek, CEO, to begin today's conference. Thank you.
Jacques van den Broek : Yeah. Thank you, Mahan. Good morning, everybody, here from Diemen. I'm in the room with IR, Stephen and David, and Henry to take you through Q4, but, of course, also the full year.  Let's jump immediately to slide six. And I think the heading says it all. Performing today and preparing for tomorrow because that is what we're doing. We are running the company, of course, on actuals, but at the same time, creating through a digital transformation a bright future. And that goes hand in hand. And I think we can look back on a good year in that sense.  So, we're satisfied. Solid set of numbers in ongoing, definitely, uncertain macroeconomic situations, predominantly we think in Northern Europe.  Before going into the quarter, I want to take you back through the entire year. A theme already for the full year has been the resilience of our portfolio. The rest was great throughout the year.  Europe, yeah, certainly, Germany was tough for the full year. But at the same time, the US was stable despite some slowdown in our industrial part, but we're very happy with the performance of our Professionals business over there.  If you look at our total portfolio, we have a €50 million less EBITDA in Germany and we run quite a set of investment activities in digital and IT. And still overall, as a percentage, the same EBITDA. Professionals throughout the world also showed very good results. Our Dutch business, Yacht, record year with an 8% EBITDA. Ausy doing very well and also Randstad Technologies in the US. But, overall, many smaller Professionals businesses also doing very well.  So, you know, certainly the ones that have been following us for quite a few years, is that we were struggling at some point in Professionals, but we're very happy with the part of this – the very profitable part it is of our business.  Then to digital transformation, digital transition, I want to highlight a few things. We talked about it at the Capital Markets Day, of course, but still maybe not everybody was there.  Let's start with workforce scheduling. Midsize clients where we install a self-planning tool on premises and we equip all the temps in the pool with their own app technology, so they can plan themselves. We now have more than 1,800 sites live in 15 Randstad countries, which helps us certainly in, for example, a market in Germany to have underlying growth with, of course, some challenged clients in the automotive sector. But also in France, if you look at our top line numbers there, definitely helps. Data-driven sales where we equip our people with the knowledge to go to clients when there's a need and to share with them labor market data relevant to the job we're looking for on behalf of the client. This results in more visits, some 25% more client contacts in the pilot groups where we have been testing this. Customer delight, again a data-driven support system, if you will, where we go out to all our stakeholders, our candidates, our clients, to find and to find out what they appreciate in the service most, which, while not surprisingly, is mostly the human touch, staying in touch throughout their assignments, certainly also, for example, when their assignment ends.  A system that has been developed in Belgium now been rolled out to 10 countries and counting. What I really like about this customer delight is that it directly influences the behavior of our consultants. So, every day or most day, get confronted with the demands and what their stakeholders appreciate and they can adjust what they're doing or do more of some specific actions or less.  And last, but certainly not least, value-based pricing. This goes hand in hand with data-driven sales because next to sharing data on the availability of certain profiles, there's also a pricing tool.  So, you can imagine that, if our consultants have a really data-driven, fact-based conversation with our clients that they are willing to pay more. And even in markets like the Netherlands, we see negative growth. Pricing for the people we deliver to our clients has actually increased.  Value-based pricing is not a quick fix. You need a big set of data, external labor market data, our internal data. So, this takes time to go from country to country. But we are preparing for 2020 to take this to Belgium, France, the UK and the US. And it has a clear tangible, positive impact on our gross margin.  Then to our team. We are, to a large part, a new team. Very happy with the fact that René Steenvoorden will be proposed at the next day GM to step up to the board. IT, data, digital, it's crucial for our strategy. Maybe 10 years ago, it was a qualifier to be in this game. But today, it is a part of what we do. It's a part of what our consultants are doing. And René will lead an increasingly global effort on IT. Then, Rebecca Henderson moved up to the board very much towards global clients enterprise, which we shared with you at the Capital Markets Day. Enterprise clients that have spent €500 million at least on contingent and perm and want to be serviced throughout the world. A little bit more on that one later. Karen Fichuk, taking care of our North American business, really hit the ground running. Shares a background in data-driven sales. So, how applicable can that be to what we're doing. And then, as we mentioned in the press release, François Béharel was up for a third consecutive nomination as an EB member. That will not be prolonged. This is on the agenda of our AGM. So, therefore, we also would like to mention that today – Francois and I, of course, for many years have worked together well. We're going to be discussing the handover of his EB duty.  And then, of course, looking back on the year, I know a lot of colleagues are listening in and I want to thank everybody at Randstad throughout the world for their great effort and the great job they did throughout this year. And, of course, we becoming, for the full year, the jury's still out, Adecco still needs to present their numbers in a few weeks, but we're quite sure that we are the number one HR service provider for the full year, which of course is still a landmark moment. We're very happy with that.  So, back to Q4. Solid performance. Challenging environment. The growth slightly eased in Q4 compared to Q3, predominantly driven by, as we call it, Northern Europe, Germany, as you can see, permeating into the Netherlands, already saw that in Q3, but it's aggravating into Q4. And also Sweden, a market which we don't talk too much about, but also a market that has large automotive clients and also has everybody on the payroll. The Swedish model is like the German model. So, weathering those trends is a tough act.  Overall, the trend is stabilizing, but still negative. The North American growth, as I mentioned, is focused slightly – mainly in industrial. We are also understaffed there, in the staffing business predominantly. So, we brought in 100 more producers in our staffing business.  So, also perm, the development of perm is always a sure sign of confidence in the economy, down 5%.  The January growth rate, we quoted it at minus 3.5%. It is broadly stable, although the Netherlands where many of you know there's a new law, the labor market imbalance, if you will translate it. We suspect quite a few clients already in Q4 are taking out people, but into January we do see also a slowdown – a further slowdown in the Netherlands, although the good news is that the cost and the cost flexibility increases from 5% to 6%. We've been able to pass it on quite well. So, for the gross margin, it won't make much of a difference. It might even be good news.  And then, in France, you've seen us growing in Q4, but definitely the effects of the strike, which you also see in the prism – in the labor market data or the temp data over there, we don't expect ourselves to grow in France as we see it now in Q1. So, those two have a bit of a downward effect on our growth rate. Overall, pretty stable. The US even see slight uptick into Jan. So, we took market share. Also important for us, relative performance. Even in Germany, here with the minus 15%, we're doing better than market and quite a performance. France and Italy also doing well. Rest of the world going well.  And then, finally, of course, the free cash flow. I will share that with you. Record free cash flow certainly in Q3, also looking very good in Q4. A big achievement for all of our people in the operation, but certainly also in finance departments, and therefore, giving our shareholders a €4.32 per share, which is 28% more compared to last year. But five years ago, it was a little over €1. So, quite a lot happening there, which is consistent with our story that, of course, top line is very important, but we are also a value creating company for the long term with quite stable and increasing returns.  Let me take you to slide seven to give you a bit more color on the individual regions and countries. For US Staffing, inhouse, for example, doing well in terms of new clients, also driven by our workforce scheduling tool. But we do see less demand with these clients. And at the same time, as I mentioned, we want to put in more producers. We've put in 100 more. So, we expect our sales to be closer to market in 2020. There's definitely a theme. In general, we want to invest more in the US market, as you know. We're the number two with a 3.5% market share. So, we do see a lot of potential in this market.  Very happy with our Profs, the RT business, the technologies business which is a predominantly staffing and perm business, but also a solutions business similar to Ausy where we provide a service to clients, doing very well. A well run business. Very happy with our results there. Canada. A stable operator in our business, slightly less growth, but still growth with ongoing good profitability.  For the full year, our US EBITDA went up or North American EBITDA went up 10 basis points, slight pressure in Q4, but that's mostly one-off stuff that fall positive or negative in a quarter. So, therefore, we'd like to look at the full year. Mentioned France. I remember some one or two years ago, when France didn't do too well, voicing my confidence in the team and the way it's run and also the digital tooling where we do a lot of experiments also in France, well, it looks good again here.  Workforce scheduling, some 500 plus clients. As you might know, we started this new service in France. And 500 clients that use this service.  Professionals, obviously, doing well, but also we have a healthcare business in France that shows a double-digit growth. Here also, the EBITDA looks very good here as sort of the opposite approach. Very good for the full year, but 6.1% for the full year compared to 5.5% and some tailwind for CICE. And as said, a positive growth for Q4. But given also the strikes, we don't have less people in terms of volume at work compared to Q4, but they work less hours because it's quite tough to get to work and we do things. And we do hope that this will ease out soon because everybody in Europe needs to work longer. But that's more my personal opinion.  The Netherlands. The Netherlands is our home market. And it's a mixed bag, so to say. Yacht, our professionals company, had a record year, 8% EBIT on a little over €500 million revenue, including the acquisition we did two years ago doing very well. Company active in the government sector, providing interim management in mostly the social domain of the Dutch government and municipalities. So, that's doing well.  Also, Tempo-Team, second staffing brand, hit the €1 billion revenue mark. Very happy with that performance. And then, Randstad on the one hand being the market leader, most presence in large automotive trucks, that sort of businesses and also the value chain into Germany in automotive, but, yeah, we also think we could have done a bit better ourselves. So, we also changed some management positions in Randstad, hopefully creating also new momentum getting into this market.  The Dutch colleagues are very well supported through technology. So, a bit similar to France. We'll get back, so to say. Very good profitability. Of course, that's also something we achieve – or strive for as a market leader. We want to set the pace and the tone in that market. As you can see, a good and increasing profitability.  And then, on the new labor market law where the Dutch government aims to make fixed work less fixed and flexible more fixed, meaning our price goes up. And again, we would pass on the cost. Little bit of bit of pressure on the volume. Of course, that partly relates to the economic circumstances, partly to the law. And it's early days. We need to see how this pans out. But, certainly, from a price point of view, margin outlook is pretty solid in the Netherlands. Then to Germany. Stable, I would say. We hoped that, in November, although that was an easy comps, we would see light at the end of the tunnel. Actually not. And also, currently into the new year, it's not deteriorating. That's what I can say. But it's not bouncing up either.  As you know, our people have been in kurzarbeit, which is German for working 10% less per week, government supported scheme, but that would end of the first of July this year. We didn't see that was good enough in terms of cost containment. So, that's why we were – it was necessary to take out another 300 colleagues in Germany. Not happy about that one.  What I would like to say is we're very happy with the cooperation of our workers' council. We're the only company in Germany in our sector with our own workers' Council and they've worked very well, very constructively with us in these tough times. Then we've launched a commercial program because, at the same time, we want to sell more. So, they call it back to basics. And in Q4, our commercial efforts have been 30% to 40% more than last year. So, very happy with the fighting spirit of our German colleagues. Q4 from an EBITA point of view looks weak, but for the full year was 2.6%. Please remember that, in Germany, where everybody is on our contract, negative top line, certainly double digit hits us in terms of idle time. So, compared to other countries, that hits us a bit more. Going to Belgium, what can I say? It's stabilized there. Actually, here you see the negative growth of 3% slightly easing. So, helpful there. Again, this is a theme. Professionals up 10%, which is mostly – historically, a part of Ausy. We merged our Randstad business and our Ausy business in Professionals doing very well.  Also here, Q4 from an EBITDA point of view looks very good. Absolutely happy with that. For the full year, it is a stable picture, a little above 6%.  We never talked much of it, it's a small country. Luxembourg, which is run out of Belgium, it's if you will a regional Belgium from a managerial point of view. We appointed a new MD there, Marc Lebrun. Internal development – and I got a bet with Marc that he is going to become the number one in Luxembourg, like many of his colleagues have done before him. So, Marc, if you're listening in, give it your best shot. I'm counting on you.  Italy, also one of our companies that had a great year. This is one I mentioned where we undercut a bit in the amount of people producers we put into our US business. I think in Italy we called it well, as in France, leaving people into the business, trying to catch a wave in the market. And although a slight negative growth, better than market. Great perm growth at 20% and stable high dividends. So, very happy with our Italian performance for the full-year and also for the quarter.  Then we go to the southwest to Iberia. Well, Spanish market actually growing. Very happy with that performance. As we said, so most of the more negative growth is definitely in northern Europe, southern Europe, France, Iberia, Italy, actually looks better.  Rest of Europe, pretty much stable pictures compared to Q3. So, not a lot of changes there. The EBITDA margin is very much impacted by the result in Sweden. Again, as I mentioned earlier, everybody is on our contract, so a downturn hits us certainly if it's at big clients where there's not a lot of offsetting these people into the market. So, that's what it is.  Rest of the world, 10% of our total sales. As we mentioned earlier, very good growth. Of course, this morning already in press, got a lot of questions on corona. Our Chinese business, which is a small business, everybody's working from home. And also, this week, in Singapore, it was ordered by the Singaporean government that everybody ideally should work from home, which we're doing. We do have the technology to support that. So, it's a bit improvising, but that's what we're doing in these two markets.  As far as you can see now, we don't see any fallout in terms of no ready supply or anything, no major mentioning with our clients that it's already hurting them. So, so far, so good. Of course, if you talk about that when you talk about a virus that actually –people are dying. So, of course, that's not a great situation. But from an economic point of view, so far so good in the region for us.  And then, finally, spent a lot of time on that one in the last quarter, but still to get back to you, what are we doing in our global businesses. It's very much fueled by the enterprise fuel. So, enterprise, large clients throughout the world, we are creating for them, also for our mid-size clients, certainly for them, the biggest talent engine in the world.  This is where Monster fits in. Monster has around 200 million people logging into Monster. We're updating the technology, so that they'll leave their resumes and this will become a big machine. A big machine where all Randstad databases, all Randstad websites will form one talent engine to use and to fuel the data we use with clients because, funny enough, almost regardless of the economic situation, many people, many jobs are tough to find and jobs are tough to fill, and that's where we come in. This is also where, of course, most of our investments come in. So, hard work, but doing well. What we could do, so you might ask. Okay. Sourceright is down, where is that coming from? Well, we do have in our MSP business some large clients in the US and the UK, they've toned down their hiring a bit, but our pipeline looks very strong. We mentioned Tania De Decker presented a new contract with the clients. That's a recent win and we're very confident that, throughout 2020, we'll land more deals. EBITDA margin up, mostly improvements at Monster, costs taken out.  And finally, not mentioned here, but I would like to mention the RiseSmart, our digital outplacer where we are rolling out that platform to many more markets. We did an acquisition in Australia, you might remember. Rolling it out to Sweden, Italy, Netherlands, Belgium, creating a global offering on this product. Growing double-digit and fast in the US. And also, we enlarge, we enrich that portfolio. So, not just outplacement, but very much also career coaching.  Maybe you remember Rebecca talking about the fact that, with our large enterprise customers, we increasingly talk about the fitness of their own workforce. So, instead of just talking about bringing people in, we also look at the employability long-term of the fixed workforce of our clients, which is very much a theme in the US and into Europe.  So, a lot going on there. Very much an investment platform for the future of Randstad.  And with that, I hand over to Henry.
Henry Schirmer: Thanks, Jacques. So, I'm on page 13. So, in general, strong year for us. So, let me dive into the quarter four results in a bit more detail. As mentioned by Jacques, the company delivered another solid operating performance in continued volatile markets and we are pleased to show strong gross margins, controlled, quality OpEx and excellent cash conversion.  While being mindful of market uncertainty, our healthy gross margin performance provided room for continued selective investments, securing competitive growth. And as you know, it's important for us to balance short-term performance with positioning the company well for the long-term.  Before I run you through the P&L in more detail, let me point out that our growth numbers are not adjusted for hyperinflation accounting in Argentina as the impact for the group is very minor.  So, revenue quarter four was down 2.8%, with around half of the decline coming from automotive. Europe remains challenging, but it's showing some signs of stabilization, while the industrial and manufacturing side in the US is experiencing some slowdown. And it's important that we can rely on our strong portfolio. Globally, our Professionals businesses are performing well as we enjoyed continued strong growth in Japan, Australia, Brazil and India. Equally important is the fact that we could continue to achieve market share gains in several of our countries without losing focus to further drive pricing discipline.  So, the wider use of value-based pricing in the context of ongoing tight labor markets helped delivering another quarter of robust gross margin performance, 20%, up 20 basis points year-over-year, and this is motivating us to roll out the concept even more aggressively. As you know, there are also some supportive mix effects at play, which I will lay out in the gross margin section.  Operating expenses were up 1% year-over-year, reflecting our ability to support our most promising growth opportunities, whilst going through continued efforts to adjust our cost levels to harsher market realities.  And also, we continued to invest in our digital capabilities to further future proof Randstad and kept on funding our most promising growth opportunities across the group.  As you expect from us, it's all been done with focus and tight field steering. Personnel expenses are down 1% and FTEs are also down 2% year-over-year.  EBITDA came in at €292 million, with a 4.9% EBITDA margin, and this reflects the 30 basis points decrease year-over-year, but underlying sound quality set of results, with significantly fewer incidentals in quarter four year-over-year.  On the next line, integration of one-off costs were €38 million. The majority of charges taken are sitting in the Netherlands where we booked the transition fee provision related to the implementation of the Balanced Labour Markets Act, in addition to a regular restructuring charge. Also included was the restructuring in Germany, as already discussed by Jacques. The remainder is used to adjust our cost base to new market realities in several regions. Clearly, we're taking actions where we need to.  Net finance costs in quarter four came in at €12 million, a net increase of €7 million, mainly driven by the full amortization of the capitalized transaction costs related to a syndicated loan. This is a non-cash incidental effect underlying interest expense, so broadly in line with last year.  Our tax rate for quarter four and full-year 2019 was at the low end of our guidance as the full-year 2019 tax rate amounted to 26.1%, with our guided range of 26% to 28%. For the next year, we guide to tax rates of between 25% and 27%. So, midpoint in line with 2019. So, as always, quite some moving parts and it's good to see the quality of results coming through.  As promised on page 14, we show the gross margin in a bit more detail. So here we go, page 14. Let me unpack the gross margin for you. As you can see on the left, the temp margin continues in positive territory in quarter four, actually up 40 basis points year-over-year following positive 30 basis points in quarter three. And in line with prior communication, we benefited from the CICE change in quarter four last year, but also created upside through our value-based pricing approach across our portfolio, benefiting from tight labor markets.  Regions like the US, Netherlands, France, Japan and Spain benefited in a significant way and it confirms our ability to price for superior value delivered to our clients globally.  Please also note that our gross margin trend was sound, without any tailwind from perm this quarter. Actually, a slight headwind with perm fees down by 5%.  The next bar on the right represents HR solutions, which shows the negative 20 basis points effect on the gross margin, mainly reflecting those mix effects of Monster. Please note that we also faced some headwinds from incidental effects year-over-year underpinning the sound quality of our underlying results in this quarter.  Turning straight into the OpEx bridge on Page 15. As Jacques already mentioned, when it comes to OpEx steering, we always try to find a smart balance to swiftly adjusting the cost base to the macroenvironment, whilst securing enough funding to capture the many growth opportunities we continue to see in the marketplace.  Sequentially, we reported organic OpEx down by €3 million, which is year-on-year up 1%. Please note this primarily comprises selective investments related to the strategic digital road map and some other strategic growth areas. As mentioned, personal expenses were down year-on-year 1% and full-time equivalents minus 2%, underpinning a tight field steering.  Let me close the chart with the confirmation that our cost optimization plan of €120 million is in progress and has my full attention as stated during the Analyst Day in early December in London. We're addressing our total cost base of €3.6 billion and looking for ways to further unlocking the power of One Randstad. The Randstad team is hungry to drive and invest into accelerated growth, and therefore, prepared to challenge cost and performance paradigms that also free up trapped resources and further flexibilizing our cost structures.  We will balance our short-term and the long-term, protecting profitability, whilst creating additional capacity to drive growth into the future. And we will see benefits of the program coming through this year, supporting our ambition to protect EBITDA margins in tough market conditions and safeguarding strategic investments required to see continued, competitive growth with attractive shareholder returns.  So, now to the free cash flow, one of my favorite charts, as you can imagine. So, on page 16, let me shed some light here what it all means for our cash flow and balance sheet. And, of course, the dividend proposal. We reported in quarter four 2019 a strong free cash flow of €424 million, leading to a record high full-year 2019 free cash flow of €915 million . This is a year-on-year improvement of almost €300 million in absolute terms and key driver for the good free cash flow in 2019 was undoubtedly good working capital performance, reflecting our slowing top line growth, but also hard driven tight DSO management.  The development of our receivables in a slowing growth environment provides another proof point of the countercyclical nature of our business model. Let me also clearly point out that we benefited from the change in the French subsidy system and from a reversal in tax payments done in 2018. Going forward, we expect another €389 million CICE receivables, boosting our free cash flows over the next three years.  The last bullet on the left shows days sales outstanding, DSO, which was slightly down versus last year and Q3 2019 on a 12-month moving average. As mentioned, our dedicated DSO management is delivering good returns and would continue to be a top priority for us.  On the right hand of the chart, going straight into our strong balance sheet. So, our net debt position improved by €263 million versus quarter four 2018 to €1.377 billion, which includes our lease liabilities of €621 million.  Please note that pre-IFRS 16, our leverage ratio arrived at 0.7 versus 0.8 last year in quarter four, on the better end of our guidance. This adjusted leverage ratio is the basis of our capital allocation strategy. All-in-all, we propose a record high total cash dividend per share of €4.32, a year-on-year increase of 28%, close to €800 million in total. This includes an ordinary dividend of €2.09 per share, reflecting a 50% payout ratio of underlying EPS and an additional special cash dividend of €2.23 per share, fully in line with our capital allocation policy.  So, that already brings me to our conclusions and outlook on page 17. So, 2019 was not an easy year to navigate. However, we managed to stay true to our core belief that strong operational performance creates foundation and headroom to further build a state-of-the-art Randstad, a partner for talented employees and customers realizing the true potential. And we are pleased to have generated €950 million record high free cash flow, enabling us to propose a very high – record high, nearly €800 million cash dividend to shareholders, an increase of 28% year-on-year.  January growth trends, as Jacques mentioned, indicated some signs of deceleration at group level. Our revenue decreased by 3.5% year-over-year, mainly reflecting weaker-than-usual return to work in the beginning of the year. Recent weeks clearly indicate a more stable trend. Please be aware that, in the vast majority of our regions, we experience stable top lines trends anyway.  We're energized and confident to continue our drive for healthy gross margins and we're definitely well positioned to monetize the added value of our services in tight labor markets, with our pricing tools getting further traction.  We do see quarter one 2020 gross margin to be higher than last year, however, slightly lower sequentially given seasonal effects and we expect OpEx slightly lower versus quarter four 2019, reflecting tight field steering and the first effects of our cost optimization program.  While market conditions are uncertain, Randstad is well positioned to capture growth opportunities into the future. The quality of our portfolio, strong customer relations and best access to scour talent is giving us the confidence to thrive also in tougher market conditions.  That concludes our prepared remarks, and I hope it helped to shed some light on quarter four and full year results. So, we're now delighted to take your questions. Back to Mahan.
Operator: Thank you. [Operator Instructions]. We already have a few questions in the queue, the first one being from the line of Paul Sullivan from Barclays. Please go ahead. You're now unmuted.
Paul Sullivan: Yeah. Good morning, everybody. Just a couple for me. Firstly, in terms of the January trends, it sounds like the deterioration was all France related. Is that the right way to look at it? And within that, is that largely strike related? And do you have any sort of visibility as we have sort of gone through into February as to whether that's starting to ease off?  And then, just on the SG&A, I don't know that you can provide a little bit more granularity on the sort of SG&A guidance for the first quarter and how we should think about the cost savings coming through? And then, related to that, restructuring charges for Q1 and for the rest of the year. Thank you.
Jacques van den Broek: Yeah. Paul, I'll take the top line question. It's not just France, if you talk about deceleration. Definitely France because of the strikes. Of course, no visibility into Feb because I think everybody is still surprised that people hit the streets. So, who am I to predict this?  But it's also the Netherlands. Because of the new law, we do see less people at work here, which is normal. We've seen that in many markets where you went through a legal change and the cost price went up higher, then people also tend to get hired by the client. So, on average, in our Dutch business, we have on an annual basis 12,000 people that go after a temp assignment into fixed employment. In Jan, we see 2,500. So, just for a month, there's a little bit more than what you would expect because of the annual average. So, the law in that sense is having some effect, although not as massively as some might expect, but early days there.  So, definitely, France and Netherlands sort of creating this slight downtick in top line.
Henry Schirmer: Hi. Morning, Paul. Thanks for your question regarding SG&A. So, let me start saying that we actually pride ourselves to be very, very tight on field steering. And I want you to see 2020 in the same vein. So, come back to that €120 million cost savings plan. So, first priority for us is protect our EBITDA margins also in tough market conditions. So, we will not let go of that pride and that muscle we have. And, therefore, also in quarter one, we will do the utmost to steer the business in line with our top line trends.  Just to give you a little more color, obviously, we are addressing the total cost base of €3.6 billion, utilizing the benefit of One Randstad. Please forgive me if I don't give you a phasing into quarters. Normally, I lay out the restructuring costs going forward, but there are many parts of that cost savings program, which will not actually trigger restructuring charges. They are procurement-related. They're just performance-related. And therefore, don't lose too much sleep about big restructuring charges coming your way. I would probably say more or less in line with what we had in the past.
Paul Sullivan: Okay. Thank you very much.
Operator: The next question in the queue comes from the line of Suhasini Varanasi from Goldman Sachs. Please go ahead.
Suhasini Varanasi: Hi. Good morning. Just one from me please. When I think about Monster, can you give an update on what you're seeing there? When do you expect the declines to ease off? I think it's still down double-digits in the fourth quarter.
Jacques van den Broek: Good morning. Monster showed a slight profit with stable decline still in the traffic. 
Suhasini Varanasi: I see. But the revenue is down, right?
Jacques van den Broek: Yeah, yeah, yeah.
Suhasini Varanasi: And do you expect to stabilize this year?
Jacques van den Broek: Yeah. As I said, and it's okay that you ask a specific question on Monster, but Monster is now very much part of a total, call it, global business strategy that we're running. So, we do expect to see a totally different Monster, in line with a more holistic candidate strategy going forward. So, yeah, optimistic about what we're doing at Monster, but cannot guide for what this will mean for the top line at Monster. But it will also be a different business mix. For example, we have still a lot of people selling into very small clients. We're going to put in an e-commerce strategy. So, that will be a totally different also way of producing the Monster service. So, it's a little bit more than just watching the traffic. At the same time, we're investing in technology. Now, we still see relatively high bounce rates of people that contact us. So, we expect through better technology more candidate-friendly technology that more people will stay onsite, leave their resumes. So, yeah, optimistic about the future for Monster.
Henry Schirmer: Just one to add, if I may. Going forward, 2020, we foresee no significant impact on financials as we had also in 2019. So, it's very well controlled and not material at all.
Suhasini Varanasi: Understand. Thank you. And maybe just one add-on. Going into 2020, it looks like, okay, we started off the year with slightly weaker top line trends compared to 4Q and also compared to 2019. But you are talking about value-based pricing that's probably going to help the gross margins and the SG&A. So, effectively, even if you have the weaker top line, you're still going on margin protection going into 2020. That's the right way to think about it?
Henry Schirmer: Yes. Absolutely.
Suhasini Varanasi: Perfect. Thank you.
Operator: The next question in the queue comes from the line of Sylvia Barker from J.P. Morgan. Please go ahead.
Sylvia Barker: Hi. Good morning. Firstly, could I ask, on Germany? Do you have any thoughts about the margin development into 2020? Maybe provide a little bit of color around the timing of the 300 FTE cuts. And then, on the back to basics again in Germany, are you kind of selling more into Staffing or Professional?  And then secondly, on workforce scheduling, would you say that you're ahead of competitors or are the offerings you have kind of in line with what you've seen elsewhere in the market? And within the 15 countries that you have, what's the kind of penetration within the actual temps using the app? 
Jacques van den Broek: Okay. Well, the answer to your last question is yes because we started three years earlier. And, of course, this happens on the back of our excellent track record in Inhouse, which has never been – well, competition, funny enough, has never been able to imitate. So, yeah, we're ahead there. It's still early days actually So, I think the 1,800 clients is early days. We still see for this more tool-based, heavily tech supported way of servicing for large clients still an enormous market. We always said it would be 15% of our total sales from five, six years ago. We now see that is 25% of total sales. It's also permeating into Professional segments, not just – it started in blue collar and warehouses. So, we see a bright future for this service, which, as mentioned earlier, it has a relatively low margin, but it has by far the highest conversion into EBITDA around 40%. So, it's also very profitable for us.  On back to basics, this is very much a program within Randstad, so our staffing brand. So, indeed, we are selling into staffing here. And the cost take-out of the 300 people will be visible in 2020.
Sylvia Barker: Okay, thank you. So the 300 people were taken out kind of end of 2019 and into the beginning of 2020? 
Jacques van den Broek: Yeah. No, in December actually.
Sylvia Barker: In December?
Jacques van den Broek: Yeah.
Sylvia Barker: Okay, all right. Thank you.
Operator: [Operator Instructions]. And the next question in the queue comes from the line of Hans Pluijgers from Kepler Cheuvreux. Please go ahead.
Hans Pluijgers: Yes, good morning, gentlemen. Few questions from my side. First of all, looking at the Netherlands, I know it's a little bit early days, but you talking about price impact as it increases, so you can pass it on, but the same time also volume impact. Could you give maybe some feeling what kind of volume impacts you're seeing. You already mentioned the 2,500 leaving, but what's the implication for the total volume.  And then, coming back on the gross margin, yeah, good development in the sales mix. Of course, Professionals, little bit help in equity, maybe give some additional feeling on the split between sales and mix and you see anything changing there, especially looking at the pricing side, surprise mix impact? And thirdly, on SG&A, also going forward, yeah, of course, you very much focus on keeping the margin stable to protect the margin, but how do you see, let's say, going forward, in case sales remains under pressure due to economic development, the implication also for restructuring? Do you, let's say, have to take really more tough measures to reduce costs? So, also including some additional charges if you have to take it down further. Could you give maybe some feeling on that.  And so, secondly on that, on digital investments, of course, you have done over the last few years. Do you believe that you have to further increase those investments or, let's say, are you right now quite stable at the level you've seen for last year?
Jacques van den Broek: Well, thank you for your two questions, Hans. 
Hans Pluijgers: Sorry about that.
Jacques van den Broek: Good morning. It is indeed early days in the Netherlands from a point of view of volume. So, clients, we spend a lot of time – actually, a law like this is a good opportunity to have a good in-depth talk with your clients on how they manage their total workforce, so that has happened. But, yeah, it's complicated. So, a lot of information for clients to digest.  The pricing, that seems solid because we went to all our clients and we were able to pass it on rather well. So, that's good. For the volume, it's very tough. There might be clients who in February say, okay, well, they see a bill, the price has gone up, they take a look at it again. So, that's really too early days for us. On digital, it's not – like we shared, it's not like we need to throw more money at it to speed it up. It's very much making things robust, let our consultants work with it. Having said that, if we do see that we can speed up, for example, the implementation of value-based pricing, of other elements, we will not hesitate, but only if we can manage it from a cost point of view. So, I wouldn't see a massive change in our SG&A because of that. Henry?
Henry Schirmer: Yeah. On gross margin – morning, Hans. On gross margin, obviously, we've seen in quarter four, temp margin up 40 basis points. It was pretty much half price mix, 20 basis points. And we do see pricing being stable now over many, many months and also going forward we're very, very hopeful and confident that trend will continue.  Your question on SG&A, with regards to restructuring, same answer I gave to Paul. We have very strict policy. If we do restructuring, we want to see payback within a year. And that is our benchmark. Therefore, if we see a benefit, a proposal coming through, we will fund it with very, very strict expectations on return internally.
Hans Pluijgers: Okay. Thanks.
Operator: The next question comes from the line of Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Hi. Good morning, everyone. I've just got two questions. First, in the US where you earlier said that you previously undercut the staff and now adding the consultants there. But equally cautious that US is a very tight labor market, so the new consultants you have added, have they come in at a higher cost? Do you need to think about the negative impact on the operating cost because of that?  And secondly, just on Netherlands, if you can provide bit more detail on the provisioning you have done within the one-off charges you have taken this quarter and how it's likely to payout on the cash side. What's the cash impact of that? Thank you.
Jacques van den Broek: Yeah, it's not that we have to hike the salaries of the consultants and, therefore, there is an impact. We're talking about 100 people, I don't know, of a total of, I don't know, maybe 2,000 or something. So, that's not going to be visible. Of course, it's an investment. So, you start with slightly lower productivity, but please remember that we have a 3.5% market share in the US. We have a good track record of outperforming the market in staffing. So, we're very confident that our management will make these people productive as quickly as possible.  On the provisioning, so because of the law in the Netherlands, we used to pay a transition allowance for people after one year of working through us that has now become on the first day. So, therefore, we had to take a provision for everybody that's working with us sort of retroactively. So, that's what this provision is. We might not fully use it. That remains to be seen, but it's really a one-off.
Henry Schirmer: Yeah. In addition to that, we have also provided for a cost adjustment based on the weaker top lines in the Netherlands [indiscernible].
Anvesh Agrawal: Fine. So, just to be clear on that. So, on this provision, even if, let's say, the volumes come back, you don't need a higher provision going forward or…?
Henry Schirmer: Not because of this law. That's really a one-off for the current temping pool or people that work through us. Yeah.
Anvesh Agrawal: Okay, that's clear. Thank you.
Operator: The next question in the queue comes from the line of Tom Sykes from Deutsche Bank. Please go ahead.
Tom Sykes: Yeah. Morning, everybody. Firstly, just on the price mix. Could you maybe just outline how strong in effect growth out of SMEs has been on your mix? And on a like-for-like basis, are you seeing the same price increases or ability to pass on pries to large accounts as you are to SMEs please? And I've got a follow-up please on the dividend.
Henry Schirmer: Yeah. Why don't you ask a question on the dividend ?
Tom Sykes: Okay. Yeah. Obviously, on the capital allocation policy, you will have by the end of this year spent somewhere just short of, I think, about €750 million on special dividends. And why are dividending back instead of investing into the business and perhaps broadening the business mix? You've clearly – maybe a mixed result on Monster, but your result on Ausy has been – looks like it's been quite successful. So, why didn't you spend that €750 million on business mix instead of dividending back what is largely a CICE subsidy benefit, please?
Henry Schirmer: Right. So, let me start with your first question on the GM. I'm afraid we're not detailing that out further, Tom. I think we've already been quite transparent on the numbers we're providing. As far as dividend is concerned, I think we've been very transparent, consistent with regard to our capital allocation strategy. And what we would like to demonstrate is our capital discipline and the value we are recreating for shareholders here. It's actually total dividend we will payout in 2020 over 2019 is actually €792 million. And I can also reassure you we do not feel constrained by the capital allocation policy to invest into our strategic priorities. So, I think we can do both to driving organic growth. Should we see value-adding M&A coming our way, and we are obviously looking, we will do that, but don't believe we feel constrained about that policy.
Tom Sykes: Okay. But in terms of your acquisition policy then maybe going forward, should we assume that these are still largely going to be traditional staffing or perm businesses or close adjacencies? Or do you think you may consider slightly more broader outlook? I guess, again coming back to Ausy, which does seem to be successful, seems to be a growth and more stable business model that more success on that side of the M&A perhaps would be a good thing.
Henry Schirmer: Yeah. Actually, we stay very, very focused on driving value organically. And in addition is that if we see an opportunity to add to – I don't know add market share in countries where we probably are slightly weaker or accelerating our technology footprint, we will do that. But we have an organic strategy to create value.
Jacques van den Broek: Tom, good morning. We do acquire out of Ausy. We do acquire out of Ausy. I wouldn't rule out an acquisition in the American statement of workspace. So, thanks for the compliment. And we do like this space. It's a different space, although, of course, it's still very close to what we do. We have a 6% market share in Staffing. We have a very low market share in statement of work. So, within that core, we like to grow organically as quickly as possible with bolt-on acquisitions is very much our strategy. Yeah. And then, organic growth is a cheap way to grow and then you throw off a lot of capital, which we think is attractive for our shareholders.
Tom Sykes: Sure. Okay. Thanks very much.
Operator: We have two more questions in the queue. The next coming from the line of Marc Zwartsenburg from ING. Please go ahead.
Marc Zwartsenburg: Yes. Good morning, everyone. Thank you for taking my questions. First of all, on the Netherlands, going back to that one, you're at minus 10% in Q4, suggesting a bit that December and Jan maybe is trending at, say, minus 15%. Correct me if I'm wrong. But it seems that you're not ahead of the market at the moment, while you are the bigger player there, suggesting that I think with the new law you would be able to gain market share because the little ones might be struggling even more from that regulation.  The other one is your digital tools. Just thinking a bit of market share developments going forward. Would you expect to be ahead of market in 2020 within the new law? And am I correct in thinking that you're down around 15% in December, Jan? My first question.
Jacques van den Broek: Yeah. Minus 15% is the pessimistic case. Market share, we take a lot of market share, Marc, while still protecting our EBITDA as a percentage. I think you should look into the EBITDAs of competitors in the Netherlands to get a bit of a feeling how impressive 6% is.
Marc Zwartsenburg: Sorry to interrupt. But you're currently – you were ahead of the market. Now, you're more in line with the market. [indiscernible] more disciplined than the other players while they're panicking ahead of the new regulation.
Jacques van den Broek: Yeah. I don't know. I don't know. I sort of alluded to the fact that we are not fully happy with our performance at Randstad. So, we change management most of the time when we're not too happy. And so, we changed our top team at Randstad in the Netherlands. So, I think that is not the question.
Marc Zwartsenburg: Okay. Then the next question going back to the OpEx, how much of €120 million is already achieved in 2019 and how much of that can be expected in 2020? And should we think of the additional €38 million of provision that most of that will also come as a saving on top of that number in 2020?
Henry Schirmer: Actually, I would say none of the €120 million is already taken in 2019. So, we expect that to drop as run rate savings in 2020 and 2021. And the €38 million, part of that – the €17 million is part of the [indiscernible], which will not give you the return on our classical restructuring like we have in Germany, also partly in the Netherlands where we are adjusting our cost base. 
Marc Zwartsenburg: And that provision for the new regulation, that is more a phasing thing?
Jacques van den Broek: No. Actually, that is a charge we had to take to reflect actually obligation put on staffing companies to reflect the liability due to the new law.
Jacques van den Broek: For their transition payment which, as I said, normally kicks in after one year. We now have to – for our full working population, we had to retroactively for everybody who's in less than a year take it as a provision. So, we'll see how that pans out, but it's a totally different one, as Henry said, than just taking out producers.
Marc Zwartsenburg: If I may, can I ask one also on the free cash flow? Henry, what are the larger items besides, obviously, how the EBITDA will develop? But the larger items in your free cash flow for 2020 in terms of cash taxes, the cash-out from provisions and CICE, those kind of items. Can you give us a bit of a feel for the sustainability of your free cash flow in 2020?
Henry Schirmer: On those large building blocks, I think a fair working assumption there, that's broadly stable. So, CICE comes in another year. Obviously, we had the benefit of some additional CICE here because the new regime started in 2019, but there will be €389 million of CICE coming in the next three years, so portion of that is dropping in.  CapEx is broadly in line with what we spent in 2019, could be a few millions up or down. Also, cash taxes paid will be broadly in line as far as we can see it at the moment. Of course, there might be delta depending on the top line on EBITDA generation.
Jacques van den Broek: Yeah. So, Marc, actually, we hope that the free cash flow will be far less because we start growing like hell in the second half of the year, but we don't see it yet.
Marc Zwartsenburg: I hope so too. All right. Thank you very much.
Jacques van den Broek: Okay, thank you.
Henry Schirmer: Thanks, Marc.
Operator: So, we have one last question in the queue from the line of Konrad Zomer from ABN AMRO. Please go ahead.
Konrad Zomer: Hi. Good morning, gentlemen. I had two questions, please. First, can you give us a bit more background on the fact that François Béharel will not be appointed for a third term on the executive board? And secondly, your attitude towards 2020 because I think I know you manage on actuals and you don't manage on expectations, but I guess if you look at the consensus organic growth rate for this year at minus 0.8%, January might be slightly disappointing to some of us despite you explaining very well. Now that you enter the New Year, what's your attitude towards 2020 overall because, I guess, economic growth forecasts are still positive, a lot of people do not expect a recession. I guess you don't expect a recession. But in terms of managing your business going forward, are you still in, let's say, cost savings mode or are you secretly hoping for a year of positive organic growth? Thank you.
Henry Schirmer: So, let me get the second one out of the way immediately, Konrad. So, our attitude to 2020 is we are starting the year with confidence and with really good spirits. I think we have a good strategy in place and everybody's hungry to get into the growth opportunities we have. Therefore, we need money and funding and we've energized the entire organization around protecting EBITDA margins first, but whilst we're doing that, but also making sure that we have finding investment money to outgrow competition as we did in the last few years. So, that's the attitude.
Konrad Zomer: Okay. That's interesting.
Jacques van den Broek: And then, yeah, so the François mention is a very factual one. This is also because the agenda of our AGM goes out. So, I don't have anything else at this moment to talk about. We are currently discussing with François, with the SB how to handle his EB duties. So, we'll inform you if we know more.  On 2020, actually, I do have a feeling for the year. It's the year where the company turns 60. I don't know if you know that, but it's always – when we launch a big culture program where, with all our 38,000 consultants, we talk about who we are as a company, where we're going to and their role into it, which we think with all the millennials in our company is very important. We already see a lot of increased employee satisfaction. And certainly, all the changes we're going through as a company, we think it's a great moment to share with our people what we're doing, what the opportunities are for them towards all the stakeholders. So, very much looking forward to that.  Next to that, I'm turning 60. Looking less forward to that, but that's also how we look into 2020. 
Konrad Zomer: Well, that's happy anniversary to both of you then.
Jacques van den Broek: Absolutely, absolutely. Thank you.
Henry Schirmer: Thanks, Konrad.
Operator: We have no further questions in the queue. Thank you for joining today's call. You may now disconnect your handsets. 
Jacques van den Broek: Thank you.